Operator: Ladies and gentlemen, thank you for standing by. And welcome to the NewAge Beverages Fourth Quarter 2019 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. [Operator Instructions]I would now like to turn the conference over to your speaker today, Scott Van Winkle from ICR. Please go ahead, sir.
Scott Van Winkle: Good morning, and thank you for joining NewAge Beverages Corporation's 2019 fourth quarter and full year financial results investor conference call. On today's call, we will have Brent Willis, Chief Executive Officer; David Vanderveen, Chief Operating Officer; and Greg Gould, Chief Financial Officer.I'd like to remind everyone that this conference call may contain forward-looking statements reflecting management's current expectations regarding future results of operations, economic performance, financial condition and achievements of the company. Forward-looking statements, specifically those concerning future performance, are subject to certain risks and uncertainties.Factors that could cause these results to differ materially are set forth in our annual report on 10-K, filed with the SEC. Any forward-looking statements we make on this call are based on assumption as of today, and we undertake no obligation to update these statements as a result of new information or future events. During this call, we may present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release, which is available on our website at newage.com.The transcript of today's conference call will be available on the company's website within the Investors section at www.newage.com.I'd now like to turn the call over to Brent Willis, Chief Executive Officer.
Brent Willis: Thanks, Scott, and thank you everyone for joining us on the call. Before we get into 2019 performance and our major activities in 2020, I want to share some overriding perspectives on the company and our business. We believe that we have a very good business and tremendous and unobstructed potential.Let’s align first on the things that are virtually impossible to argue with. We have a strong balance sheet, very little debt, assets of north of $250 million, and cash north of $60 million. We have an infrastructure in 60 countries around the world and access to all those opportunities and growth, and we only sell healthy products mostly fulfilled by e-commerce directly to consumers’ homes. Let me reiterate that, we only sell healthy products sent directly to people's homes.Now, there are a lot of businesses and industries that I'm not sure I would personally want to be invested in right now, but I believe we are extremely fortunate to be in the business we are in with the business model and channel access we have with what's going on in the world. Because of how we have evolved, because of what we have done, and how we have built the company from scratch 3.5 years ago, because of that, we are up worldwide year-to-date in 2020. Yes, up. And I'm not sure that there are many businesses that can make the same claim right now.Consumers are nervous, investors are nervous and it's understandable. But in that context, I believe NewAge has a responsibility. Yes, we have an opportunity, but moreover, a responsibility to live our mission to educate and inspire the planet to live healthy. It's why we created the company in the first place and living up to that mission is of the utmost importance now more than ever.Greg Gould, our Chief Financial Officer, is going to share 2019 operating performance with you in just a minute. In fact, we transformed our business in 2019, growing nearly 5 times to a scale of more than $250 million. Now that's one way to look at the business fairly. And on that scale, we now have a 60% gross margin, which is also a major transformation.Now, I believe our institutional investors understand when you have that kind of growth, that kind of transformation that kind of movement, at that pace, that it's virtually impossible to predict the forecast or project kind of performance. With new business acquisitions and around 5 times, the scale, entity to lead, guide, direct, manage across 60 different countries, it has definitely been a moving target.On the forecast for 2019, we did not expect to be around $40 million revenue impact from the Chinese government actions on the industry compared to our plan. China had been growing at 20% a year for the prior 5 years. That was reasonable to expect the same to continue. It didn't happen and no one predicted the impact that hit the industry, really right at the outset of 2019. That is our gap versus what we initially envisioned.Now in full transparency, when you really dig into the numbers, the other gap is in the U.S. retail business, offset by growth at about 75% of our other markets. We expected more execution from 7-Elevan and Walmart and new distribution and they did not deliver and we expected more from the BWR acquisition and they did not deliver either. So that's why we are taking an impairment charge on the U.S. retail brands business.Let me give you some additional insight on this too. We started with some small brands three years ago. And we have improved them overall. But now they are no longer strategic. So we're just not going to invest any more in them. Then in hindsight, we did the same at InBev when I was there. We started off with some small businesses and brands in Eastern Europe. And as we grew and better opportunities emerged, we just sold them off the course. Right now, these small brands cost us a lot of money, a lot of cash and they're just too kind of heavy lifting versus the better opportunities, better, bigger brands, and better, more profitable channels we now have in better, more profitable markets. That's why we’ve put them up for strategic review.Now we believe there is potential with a much better globally iconic brands we now have like Nestea, Volvic, Evian and Illy. But the others are just too small. And it is a disciplined approach to focus investment, time, money and effort behind what works and what is scalable.I'm going to ask our new Chief Operating Officer, David Vanderveen to talk about those things working in his outlook on the business and some of his major activities. But first, let me ask Greg to take you through how we finished 2019. Greg?
Greg Gould: Thank you, Brent. And good morning, everyone. We had a transformative and extremely busy year integrating two acquisitions, and increasing our scale 5 times to $253.7 million in net revenue in 2019, while building the capabilities to manage the business across four different channels in 60 countries, some of which were under great pressure right away like Brent previously mentioned.With the strategic review of the U.S. retail brands, and now with our arms around what works and what doesn't, we expect the business to be less complex and much more manageable going forward. In 2019, we generated $253.7 million of net revenue, versus $52.2 million in the prior year, a growth of 386%. Gross profit was $152.7 million, or 60.2% of net sales for 2019 compared to $9.3 million or 17.8% for 2018, which reflects the significant improvement in product portfolio, penetration of more profitable channels, and access to new, more profitable markets.SG&A in 2019, as a percentage of sales, was 6 points higher than 2018 as a result of a number of needed investments to upgrade and build out our platform, including upgrading external auditors to Deloitte, strengthening the quality of our insurance and insurance providers, upgrading legal support to Faegre Drinker and Greenberg Traurig, and important investments in the Board of Directors and the leadership team.Net loss was $89.8 million for $1.16 per share during 2019 compared to a net loss of $12.1 million or $0.26 per share in 2018. The increase in net loss during 2019 was significantly impacted by the $44.9 million impairment charge for the write-off of Goodwill and intangibles taken during the year related to our U.S. retail brands business.Adjusted EBITDA improved by $1.7 million in 2019 to a loss of $13.4 million from a loss of $15.2 million in the prior year.Shifting to the balance sheet, we continue to have a strong base and a clean capital structure. Cash increased to $60.8 million versus $42.5 million in 2018, an increase of 43%. Total assets were $251.1 million compared to $158.9 million in liabilities. At December 31, 2019 we had working capital of $33.5 million.In the fourth quarter ending December 31, 2019 we had net revenue of $59.2 million compared to $14 million in the prior year quarter, an increase of 323%. The company delivered gross profit of $32.2 million in the fourth quarter of ‘19, up 10 fold from the $3.2 million in the fourth quarter of the prior year. Total operating expenses were $97.7 million in the fourth quarter of 2019 with the largest driver being the $44.9 million of non-cash impairment charges for the write-off of goodwill and intangibles taken during the quarter related to our U.S. retail brands business.As Brent noted, we have decided to look at our strategic alternatives with this portfolio of brands. The remainder of the increase in operating expenses predominantly reflects the increased scale and talent level of the team we are working with both internally and externally in the business during 2019 as compared to the same period in the prior year.For the fourth quarter of 2019 we had a net loss of $65.9 million or $0.83 per share with the majority of the loss being non-cash and related to the goodwill and intangible asset impairment. Adjusted EBITDA for the fourth quarter of 2019 was a loss of $17.4 million versus a loss of $8.7 million in the fourth quarter of the prior year. It should be noted that the U.S. retail brands only represent 4% of our total revenue for fiscal 2019 but created approximately $18.6 million in adjusted EBITDA loss. Without the U.S. brands business in 2019, we would have generated $5.2 million of profit EBITDA for the year.With us now looking at our strategic alternatives related to our U.S. retail brands business, we expect to see significant improvement in our overall profit and cash flow performance once these brands are eliminated from our portfolio.On the operating side of the business, we had a number of parts of the business that performed well throughout the year. Our direct store distribution business was up all year along and continues to perform well. For 2019, the division was up 11%, its 11th consecutive year of growth. All sectors of this division grew well, including their snacks, alcoholic beverages; and the largest unit, non-alcoholic beverages, where a number of new brands were added to the distribution portfolio.And looking at Noni by NewAge, direct selling channel that used to be called Morinda, in our first year of owning this business, we are cautiously optimistic on its trajectory. Based on the Chinese government industry restrictions that occurred in 2019, we saw our revenue decline in China nearly 40% year-over-year, which was actually much better than some of our competitors in China. In 2019, Noni by NewAge grew in 38% of the markets in which we operate. That growth was driven by Latin America, which was up 15% year-over-year, led by Peru with 24% revenue growth in 2019.East -- Southeast Asia also contributed growth and was up 4%, most notably impacted by Indonesia, the world's fourth most populated nation, which was up 34.8% versus the prior year. We did not grow in Japan, our largest market. What we did do was reversed the rate of decline by almost half, which in and of itself is a major accomplishment as it is a market that has declined consistently for the last five years. We expect improvements in 2020 based on the impact of some of our new products, such as Noni + CBD, and TeMana Shape, and the impact that Dave Vanderveen will have in helping us capitalize in this market in 2020.I believe we have a strong direct selling and direct store distribution business with several high potential opportunities in front of us, a good balance sheet, a pretty reasonable cash balance and manageable debt. No one could have predicted the China impact in 2019, or the continued decline in our U.S. retail branded business. But we weathered it and now 2019 is behind us.As we move forward, we focus on how to do well, by doing good. By doing this, we are dedicated to improving the business, both operationally and financially, which would translate into a stronger growing business and increased value for our shareholders, which we will do by delivering superior products to our customers that truly improve their quality of life. We have started off 2020 well compared to 2018, despite the current corona pandemic.The choices we made to invest in marketing and operations and execution overall, with the hiring of Julie Garlikov, our new CMO; and David Vanderveen, including building out their teams are the right ones to leverage this powerful global platform we have built. We also believe it's the right thing to focus on this part of the business with the highest potential. And it's a natural evolution to shutter those things that no longer are strategic.Now with that, I'd like to pass the call over to David, our new Chief Operating Officer to provide visibility to the major drivers of our performance going forward. David?
David Vanderveen: Thank you, Greg. Before I talk about the NewAge omni-channel platform and what we're doing with it, maybe I should answer a question that a lot of people have been asking recently. Why did I leave XS and Amway to join NewAge? Why leave the largest business in direct selling for a much smaller player with perceived challenges and risks? Why take such a big path with my career? Obviously, I didn't need this. I had a very successful get going with Amway and the leader in direct selling, who bought my XS business, which is now in 60 countries with roughly $500 million in annual revenue. So why join NewAge? I think the answer is because I don't sit still very well and the world of consumer goods is going through radical transformation right now. The big fish doesn't always eat the small fish anymore. Now the fast fish eats the slow fish.Many NewAge business investors know that I'm an investor and advisor at RX3 Ventures together with Byron Roth, Nate Raabe, Aaron Rodgers; and Glenn Rodgers, who was formerly on my Board in XS and has since now joined NewAge as the new Head of Business Development.We adopted a worldview that traditional retail is broken. I mean, you have to be there, but it doesn't and can't be your only focus to succeed. We know that healthy consumer brands, particularly in the emerging and growth categories need to be heavily focused on direct-to-consumer growth across alternate channels like social and e-commerce, flagship experiences in store, catalog, and even direct selling. The point is that consumers need to be able to buy brands and products from a growing number of points of presence, when they want it, and where they want it.Much of my thinking in deciding what I wanted to do next was to find the right people and people are always the most important at a place where we could move fast and have resources to execute, where we’re committed to organic and sustained growth and we can explore serious omni-channel growth strategies and execution. NewAge has already done the heavy lifting of building the platform and getting scale in a very, very short period of time. So I think now it's time to leverage that platform and drive it like we mean it.And in my case, drive it like I stole it. That's what I’ve a history of doing. I like to drink life with two straws. I like to move fast. The team always gets the credit and I love to win with a team that delivers dramatic value for shareholders. Bill McDonough from Cradle to Cradle, which is one of the best environmental design firms on earth did a talk through group I’m a part of in Laguna Beach and was talking about applied -- he was talking about values. He said design signals intent.And what we -- I think that to me, what we build manners, and how we integrate our values into the design of our business, our brands, our products and how we operate is what creates movements. It's also what we leave behind. Some brands and businesses can help people transform their lives. And we want to do that at NewAge. The team stands for educating and inspiring the planet to live healthy. We do that with more than 280,000 people in our extended system worldwide. And we're constantly integrating those values into our daily decisions. I'm very proud to be a part of that.With the current health crisis and consumer demand for healthier products that they can consume in food, beverage and supplementation, there's kind of no better time to be in our categories, connecting directly to consumers' homes around the world. It's hard to think of a better business to be leading growth and right now. Some industries just picked up an unexpected scale force, set of headwinds that would really be difficult to manage, and I feel deep empathy for friends in services or leisure or transportation industry. The company and our strategic purpose has proven itself to be the right place at the right time over and over.Look, NewAge has challenges, I knew that going in. However, I believe that the company has taken the right steps to focus on the best parts of the business and to eliminate the small parts we don't need any more. That level of discipline and courage is not always easy to find. This company moves fast to acquire businesses and brands that allow them to scale, grow and sustain themselves. There's speed and the level of execution as a team, was what appealed to me most. And we're continuing to pivot in operating a business that operates at a very high rate speed, almost like a high speed sport.We've made significant progress in a very short period of time. The original businesses that we acquired were done to survive and to build something that was viable today. All of the acquisitions were of declining businesses. They were purchased at significant discounts, because that's what NewAge could afford at the time. Morinda was no different. It had declined for 10 years, was purchased for less than 5 times EBITDA and now it's just starting to rebound. Now we have something of real value. We have a global platform. We have the infrastructure, the people, the capabilities, healthy brands. We have direct-to-consumer e-commerce and home delivery. After 12 months, we now have the direct selling side of the business going in the right direction. And we are offloading elements that aren’t strategic any more given our path forward.One potentially might not like, or better said, understand the current business overhead, the current SG&A related levels of profitability yet. This is just a point in time assessment, a data point. And it's simply reflective of the fact that the platform has just been created. Regardless, I agree with the need for SG&A leverage and faster profitability. But let's be clear, we aren't focused on day trading the stock. And we realize that the trajectory of real and sustained growth isn't a straight line up into the right. It's a journey like climbing any mountain that is a series of peaks and valleys.Keeping the end in mind, constantly adjusting and staying focused, we will continue to reach new pinnacles of growth and success.So let's talk about what we're doing right now to accelerate our path. We're launching hot new products. We’ve just started with CBD + Noni in Japan, where I recently spent two weeks working with key distributors and our sales and marketing staff. And we sold out of what we expected, would be two months of inventory in a week. It was an explosive launch, and we were out of stock for a short period of time and created great scarcity. Japan is much bigger than just the impact of launching a couple of new products. Our distributor leaders there are now more excited than ever to see such a dramatic change in direction, and a new portfolio of products they can sell via new platforms, particularly social commerce, mobile apps, and experiences and events that attract the new generation.In this industry, in direct selling, when your senior leaders are engaged, motivated, focused and excited about the business, it creates fresh wind in your sails and you can run downwind.So what are the big opportunities emerging in Japan? I think it's important to understand how the market works. It's not like United States. And breaking through the legal barrier, Japan to be able to just sell CBD beverages was the first big hurdle. But it's also a little bit too edgy for the Japanese social norms and customs, what they call their law, their social norms. They have a much smaller body of codified law in Japan than we do. But their social norms and standards control their actions and behaviors much more than other places. So we have to breakthrough that too. We have to breakthrough those social customs. And the great thing is, first movers in Japan who do that successfully, you tend to endure in that pole position. So first we broke through with our direct selling business in that channel distribution and that has gotten attention.Now we're partnering with the most revered stem cell medical clinic network in Japan using CBD for post op recovery. But we're also breaking through on television with QVC, which will help with major retail distributors. Some of the largest retailers in Japan are asking to partner with us on CBD because they want to be part of that fast moving trend, but they don't want to be the first. We are legally and socially first in Japan and we will continue to lead from there. We are in a really historic position that we will leverage.Beyond Japan, we're excited about the prospects for TeMana Shape, our new intermittent fasting product that we plan to launch in 15 markets over the next 15 to 45 days. Intermittent fasting is one of the hottest health and weight loss trends right now, and we got smoothie pouches that are made with Noni and Kombucha that tastes great, and on average, our test subjects are losing 15 pounds in a month. We just sold out of Shape in North America last week on our first day of launch.Also, Julie Garlikov, our CMO and I are bringing in a new e-commerce strategy and social selling tools and software to powerfully enable our field to make execution easier on them. We're transforming and improving our e-tail, e-commerce and affiliate efforts by orders of magnitude. To that end, I encourage all of our investors to go to our new website, was just launched today for our direct selling side of the business. It's at www.noninewage.com. That's N-O-N-I-N-E-W-A-G-E.com.It's not our corporate sites, into not the corporate NewAge site, which is also updating but this one noninewage.com is brand new as of this morning, like I said, and we will encourage you to test the elegant and improved checkout. If you type in the word immunity at checkout you'll get a 20% discount, special offer on a free -- and if you're just interested in Tahitian Noni Juice, I'd be happy to send you -- any listener on the call today a free bottle, just send me an email, david_vanderveen@newage.com.The last driver I want to talk about today is immunity and it has a bigger potential value for us than all the other things we're working on combined. We're carefully helping people understand and improve their immunity in general, but also with a host of new incentives to try some of the products that can uniquely help your body stay healthy right now. We love the fact that all of our products are healthy, but two of them have been shown in human trials to increase people's immunity and do that significantly. That's right, proven, they've been proven to strengthen people's immunity.Tahitian Noni Juice or TNJ and Cell Defense are two of the products that are researched, patented, tested, trialed, proven and published to strengthen people's immunity systems, in some cases by more than 30%. The Polynesians have been using Tahitian Noni Juice as traditional medicine for centuries. A number of scientific studies have recently been published about TNJ, particularly over the past decades through Morinda research partnership showing the boosting of bodily functions like NK cells, which are kind of the ammunition to kill viruses by as much as 32% in healthy adults.We've donated it to nine different hospitals in China. We are offering free trials to new consumers with incentives for our distributors to share it for boost immunity and you can find a link to the science and studies on our new website at wwe.noninewage.com.The other product in our system that boosts immunity is called NHANCED Cell Defense. It too is researched, patented, tested, trialed, proven and published to strengthen people's immune systems. And it was developed in conjunction with the U.S. government. It's not a cure, it's not a vaccine. But it's a powerful product that helps to boost people's immunity right now. Cell Defense is a way for people to take action right now and have more control of their health to better protect themselves beyond just washing their hands, and more often, even self sequestering. We've given it away to all of our employees and are working to make more frankly as much as we can, as fast as we can.I didn't know about all this when I joined NewAge at the beginning of the year. I also didn't know that we'd be here with this global business disruption and that one of the most challenging health crises of our time would be hitting us right now. What I do know now is that NewAge has two products that can help people immediately. And I'm making it my personal mission to get the word out globally. I understand that our situation at NewAge, the challenges and opportunities, and I knew those things going in would be difficult. I understood and understand investors’ desire for faster financial progress and profitability. I wanted to.China was out of everyone's control in 2019. And now I believe we're in a good position to outperform competitors. And what matters most is that we have an outstanding platform that I have a tremendous experience leveraging platforms like this. And after my first 60 days, we're already starting to see results. What we have and what I see and why I am here is an industry, a sector whose time is right, with a powerful range of healthy products we’re exploiting out of the gates, with some unique patent of products that can really help people now.I'm asking all of you to join Brent, Greg, our Board, the rest of NewAge management team and me to enlist your friends, connections and followers to be a part of making a difference for this planet with these healthy products. But more importantly for your communities and families, for yourself right now. We can do it and we humbly request your help in doing so. And I invite you to join me as part of the team. Brent?
Brent Willis: Well, thanks, Dave. I hope all of our investors can see why Dave Vanderveen is probably the most respected leader in the direct selling industry. I think we're incredibly fortunate to have him and let me tell you, equally lucky to have Julie Garlikov, our new CMO who is just as capable.75% of our management team is new in the past 15 months, so we're just coming together. Dave talked about some of the strategic and operational projects we are undertaking and he is leading. And I would like to just frame what Dave is leading and put those actions in context. Strategically, we are focused on three primary regions, North America, Japan, and China. Within those geographies, we're building out three platforms, health and wellness, healthy appearance, and nutrition and performance. And we're working to build $100 million brands within each one of those platforms. Tahitian Noni is already one, and TeMana is on its way in the healthy appearance platform.We will continue to differentiate our brands with healthy functional points of difference, utilizing Noni across the board, plant-based ingredients, CBD and phytonutrients from our health sciences patents. And in terms of consumer benefits, we're focusing on immunity prediction and reduced inflammation where we have the science to prove the patents, the studies, the human trials to expand our relevance with consumers.Look, we have grown truly over 100 times in the past 3 plus years, following a roadmap that we laid out at the very beginning of our journey. Our roadmap for the next 3 years has the same mission. Greg talked about it, doing well by doing good. But getting there looks much more focused and much more precise in how and where and what and when we execute to get there. But we are absolutely confident we will get there and the process drives tremendous return for our shareholders.Getting that incremental scale is technically financially very important to us as all of the new revenue from this point forward has significantly less SG&A attached to it. So roughly 40% of the gross margin can flow directly to the net income. Operationally, I'm very pleased with our fast start to the year, especially in the context of the global business disruption. Being up in Japan, our largest market is not an accident. This amount of launch in Japan was our first new product launch there in 10 years and we are working rapidly to expand our business in other channels there, and not just through Tmall and WeChat.Noni + CBD is another excellent start and TeMana, our intermittent fasting single served smoothies is launching now in just the first quarter, much more to come. In our third focus market, North America, as one might expect, our DSD division has again started off strong and we continue to add new consumer must have brands in their 3 product sectors. But positively also, we have gained some important new distribution on Nestea in certain Costco regions and with Walmart nationally.Like everyone else, we're selling all the water we can produce and distribute in the short-term. But as previously mentioned, we are only going to focus on the products with the most potential in that division with the clear ability to profitably scale. I do expect some short-term business disruption and difficulties to operate. It's just impossible to predict how and where it might impact us.Our biggest market is up and we have a tremendous pipeline of activities and products that we are implementing in Japan and frankly around the world. And Dave and Julie and their teams have had immediate impact and expect that to continue. As Dave and Greg mentioned, we have this e-commerce and online ordered, direct delivered to your home business that structurally is pretty fortuitous right now. Through that we're delivering healthy products that everyone needs. And expect you'll see a lot on strengthening immunity, and how our Tahitian Noni and NHANCED Cell Defense products directly help and will help consumers and you'll see more information on that from us coming over the next quarter. We are being very careful with it, because even though we have the products that work, we will not be opportunistic. And frankly, we just want to provide solutions as good citizens at a time when it's needed the most.And with that, I think I'll pass it back to the operator and open it up for questions.
Operator: [Operator Instructions]. Our first question comes from David Bain of Roth Capital. Your line is now open.
David Bain: Great. Thank you. Very helpful color. You had a lot of my questions in advance of the Q&A. But if I could, on guidance. If I understand what the significant kind of unforeseen disruption in China in the first half, the cooling impact from the industry review and then the seventh year anniversary in the fourth quarter. But given your stated 1Q growth worldwide, and just based on what you see today, with the news, with the virus, with the current trends, and the strategies that you guys outlined, is it fair to say that you think you're going to see overall organic growth this year?
Brent Willis: I would take, Dave, it's Brent here. Thanks for the question. I would say that we are comfortable right now with the full year consensus guidance in both the top and bottom lines. But as you pointed out, it is a very fluid situation and I'm not sure of all of the business impacts. But the fact that we've started off the year with growth overall and growth in our largest markets is a very good start. I don't think many people can say that. So, we're comfortable on a full year basis. I do think that there'll be some fluctuations on quarter-to-quarter basis. But full year, we're comfortable with the consensus estimates that are out there. And with all of the new products that we're dealing with the new people, and like Dave talked about the leverage of this platform was created, we are set up for a good year. But it depends on the global level of business disruption that’s just impossible to predict.
David Bain: Sure. Okay. And then -- so that was helpful. And can you discuss overall IPC growth or revenue per IPC, maybe last year in the fourth quarter. Dave mentioned multiple products and programs that you've implemented to kind of grow both. Can you give us any data points on reception at this point or is it just too early? And then actually there’s a multipronged final question. I know you touched on this Brent and Dave. But do you think in some ways direct selling is becoming a more popular way to sell products in the current environment giving us like one on one, no gatherings, especially now you're anchored by immunity products. And then finally, virus mitigating techniques for IPC such as Skype, telephonic sales or anything to think about there? I know there’s a lot.
David Vanderveen: So that’s a good question. Brent, do you want to me to answer some of that or you want to take that?
Brent Willis: Yes, you got it all because it's three pronged and a very difficult question so.
David Vanderveen: Hopefully I’ll catch it all. Again it's a great question. And I think it's something that we're right in the middle of -- so I'll give you a couple of examples -- I've been kind of focused on market by market, not as much in aggregate, but we are seeing significant growth and not just in per IPC, but more importantly, we're seeing a lot of our senior leaders who had kind of become disengaged in some markets, because -- like Brent talked about, Morinda had been a declining business, which is not good in direct selling, you really need to maintain growth to keep everyone excited and participating. We're seeing a lot of senior leadership reengage in big ways and really kind of recommit and come back and put a lot of effort in particularly in our biggest markets, in North America -- in China, Japan and our North American market.One of the better numbers I saw in China was that -- they were hit by the coronavirus early. And our Q1 numbers we were seeing, particularly in February where they were quarantined, we were seeing almost the same number of new distributors coming into our business as previous year, which is a testament.I think to your second question, which is what has directionally become more relevant. The Chinese government -- it is the entire industry a big disservice by putting a 100 days moratorium on the kind of the business rather than just calling out bad actors. They had problems in the market where some Chinese companies were over promising in ways that were very damaging to consumers, particularly some young children where there were cancer claims and pull people off chemo to give them supplements rather than actual medicine. And it had negative impacts on some of those people. And so the government cracked down the whole industry. We weren't one of those bad actors, but we were all impacted by it. And now we're coming out of that.But I think what we're seeing is that when people are at home and when people can't travel and people can't really go to their offices and where they're finding alternative ways to benefit. And traditionally when there's a big downturn in the economy, healthy direct sellers do really well. It's usually an -- it's a time when people are looking for other opportunities and they're willing to do things maybe they didn't want to do if they were living in healthier economic times. So that's why really healthy. As we saw in our Japanese business we sold out of a hot new product category, after our key monthly sales day, we had a lot of subscribers that were on the 15. So we just saw a big bump in incremental revenue in Japan, because of some of that hot new engagement because of the peer to peer communication that occurs.And I think if you looked at -- to your last question, and Japan had a down economy for 20 years, but if you build that into your last question about new technology, what we've been implementing since Julie Garlikov came on and myself are a number of new technologies, she just revamped our entire website, we're in the middle of deploying a mobile app called Skylab that really allows to -- it really helps take people on a journey and automates and gamifies the process of either a customer journey, an affiliate journey or one of our distributor journey so that they kind of know what to do day by day, recognizes and rewards them and gives them badges and rankings so that they're encouraged to change behaviors and add new habits in their lives.But we're also -- we're implementing and we have implemented Zoom meetings in the past and we're scaling that much more aggressively. One of the things we're doing right now is we're actually having more meetings than we used to have because we have a focus now on doing it virtually. And that's having, we believe, an impact on our business and creating some scarcity on our immunity products, which we're ramping up production to continue to fulfill through you know, what's obviously a difficult time.And we're also working to get the story out about the benefits of our products, particularly around immunity in a way that we're being very careful about not being opportunistic or not overpromising, but giving people a lot of value around immunity right now. All the different things you can be doing and the way that a couple of our products can really help people hopefully stay healthy what’s proven to be difficult health crisis right now.
Operator: Thank you. And the next question comes from Aaron Grey of Alliance Global Partners. Your line is now open.
Aaron Gray: Thanks for the questions. And David, welcome to the team. So, Brent, just an initial question on the impairment and the shift away from brands. Certainly makes sense, just given -- it looks like the NewAge segment had had negative ghost profit dollars in past couple of quarters. But just -- first of all, as you think about the DSD business, are there any synergies that potentially be loss or impacted as you kind of move away from the brands business? And then also, just in terms of potentially selling off some of those brand names, certainly there are some with some brand equity in them, such as Coco-Libre, are there some ways you're looking to potentially monetize those or any expectation there? Thank you.
Brent Willis: Great question, Aaron. I'm going to ask Greg to help me on it too. First of on the synergy side, on the DSD side of the business, I mean, the biggest potential negative synergy might be Xing from a revenue standpoint, but again, it wouldn't be a negative synergy from a profit standpoint, and probably be good. And what's happened again, I mean, I hate to keep bringing up China with what they did in the -- on the industry in China in 2019, kind of their global gift to the world in 2020. But the whole tariff situation significantly increased the cost of raw and packaging materials in 2019 that basically significantly impacted glass and aluminum and negatively impacted the profit of these brands. So, they weren’t always negative, but now they're just a drag on us versus the other opportunities we have. So there may be a little bit of negative revenue synergy, but not negative profit impact as it relates to the DSD division, and I would say overall, look, you've got about 80 brands in that group and about 700, 800 different SKUs and they're up 11%. I don't know many direct store distribution businesses that in 2019 were up 11% and they're continuing to just crush it right. So, there's a lot of expansion potential for that.In terms of divesting those businesses, you're right Aaron there is value in them, because they've got distribution and they've got sales, they've got revenue, and just in the right hands of people that can focus on them and want to focus on them of a smaller portfolio, it may make sense for them. So there may be some value there, but it's all upside from this point, given how we've treated it financially. So we've already started the process literally more than 30 days ago or a month ago. So we're progressing that. Anything else Greg you want to say?
Greg Gould: Yes, big thing I’d really fill in there. We still see that retail brands can be a key part of our business and really a key part of the business moving forward. The problem is that in the retail market, you need to have brands that are very well known, and brands that are very large. And then we really see that we need to put them across both retail as well as e-tail, and then even going out and getting halo brands and putting them through our direct-to-consumer model.So then by doing that, altogether, you really do get a omni-channel market and that's where we really see the growth coming. But basically you need to do that with very well known, very iconic brands, which now we think we have with more of the Nesteas and Volvics of the world compared to some of our older smaller brands that we had originally bought. So basically, just like Brent said …And basically in the short-term, we might see a minor downtick in revenue. But basically we think we’d see a very large uptick in profitability. And in the process of selling off some of these smaller brands, I think they make a lot of sense in the hands of a much smaller entrepreneurial type of company. And using the same way we did, originally, it's something to get a base and really get moving. But basically now where we sit today, I mean, we're a quarter billion dollar company in 6 different countries. And it's just time for us to take that next step and it's better for the company and our shareholders if we focus on some more high potential brands and more high potential selling with our direct-to-consumer, so that's where we're moving now.
Brent Willis: I think Greg said it perfectly and beautifully. I couldn't have said it better myself. And I would just reiterate. We like the retail sector, we like traditional retail sector. But just not with the older, smaller brands that we started with. So when we look at the company, we want omni-channel going forward and want to compete in each one of the channels, you just have to do it in the right way with the right scale and particularly in traditional retail.Even if you look at some of the best brands like over the past 10 years like Bai, it took them 9 years to get to just over $100 million. And they were sold with a $400 million loss carry forward. So you need to have access to retail, but we want to do it in the right profitable way. And there's just as Dave Vanderveen talked about just better and more profitable, more channels and markets that we now have access to and make sense for us to double down on those, especially with what's going on in the global economy. So we like traditional retail, but in the right balance, I would say.
Aaron Grey: And then just diving a little bit deeper, just into quarter to-date, certainly appreciating not wanting to get specific guidance on 2020 just given all the uncertainty. But you mentioned before, you're up year-to-date so far. So just any type of goalposts you can provide in terms of where you expect revenues to come in for first quarter, I think you did $58 million last year. So, fair to think slightly above that. How best to think about that? And then any specific color that you can provide in terms of specific countries such as China and Japan. I think Japan you implied and it's also up year-to-date, and where you expect those to end the quarter?
Greg Gould: Yes. This is Greg. And basically we can say on this call since we meet our Reg FD that so far what we've seen in the first quarter is that throughout the first two months in revenue we are just very slightly above where we were last year. But with the March, we still continue to see good things, but basically it's difficult because it seems like each day when I come into work I'm seeing less and less traffic.Yeah, and so where we sit today is that through February, we are slightly up compared to last year and basically we are very cautious about March, but we feel like we are definitely in the right market delivering healthy products directly to the consumers' homes, so that we feel like we are a very good alternative for a lot of customers out there to really help build their immune system and really live a healthier and better life.
Brent Willis: I want to add to that, I think that's right where we're up and we expect to be up versus prior year in Q1. The bigger picture for me though is the full year basis. David Vanderveen and Julie are just starting to hit their stride. The launch of Noni + CBD in Japan's came on, a skincare launch in China, the TeMana Shape, intermittent fasting product that we're launching, and some other really powerful things in the queue we think are really going to drive the business coupled with new leaders joining the business plus the economic situation that could have a positive impact on their network. So that's why we said on a full year basis we're confident in both top and bottom line. But we'll have some differences on a quarter-to-quarter basis. And that's just too hard to predict. But look, we've got the platform and we've really got the right people in the leadership teams that that knows how to drive these things. Julie I mean was at Rodan and Fields as one of the key marketing leaders there. And Dave is just a machine. So he knows exactly what to do, when to do and how to do. And the excitement in our company, even with what's going on the world is palpable. And I wish I could share that with all of our investors. But we -- I just -- I feel lucky to be in this position with the channels and the e-commerce and everything that we've got. And Dave, I want to ask you, if you wouldn't mind piling on kind of what you see from a growth standpoint for the company.
David Vanderveen: Thanks Brent. Yes, I mean, the opportunity right now is to add a lot of value to communities concerned about their health and to attract people who are worried about their finances. And there just isn't -- it's not what we wish for. But it's just the reality that we have. And so, this is the time when the direct selling segment of our business to really run and fortunately we've been working pretty aggressively since I came in January and Julie before that to dramatically overhaul the e-commerce part of our business and also get some these new tools, like our mobile app, and which will really help gamify the business for people coming in remotely in particular. A lot of tools we’re also using like Zoom and WeChat and different social tools for communication just makes it easier for us to execute that and for our distributors who are older to get in as well. I've brought some relationships with me. And one of them, we have a great new social media team that's just overhauled all of our social platforms and is doing training now with a lot of our older leaders to help them quickly build the skills to be successful on some of those newer social selling platforms that people need to know. And so we're just seeing great results, there’s a lot of excitement, a lot of activity. I was just -- I was surprised to see China do that well in this February versus previous year, given the impact of the coronavirus on that market, and they were right in the middle of particularly Hubei and Wuhan, right in the middle of a lot of the big issues in February with quarantines and we continue to see good things happening there. So it's going to be a bit of an ugly girl dance. But I think we're going to be the least ugly girl in some of these global pandemics right now. And I think we'll look relatively positive given that.
Aaron Grey: Thanks for the color. That was really helpful. And then just one last one if I could, just as I think about the path to profitability, when we look at the fourth quarter, it looks like SG&A ticked up sequentially by about 30% or just under $8 million. Also gross margins came down like just over 300 basis points. And I think even if you exclude the impact from brands that NewAge business is still down just for Morinda. So -- and that all kind of lead into the negative EBITDA that kind of worsened sequentially.But it sounds like you're going to get back toward that path to profitability as you kind of shelve off the brands business which should certainly help. But how best overall to think about the SG&A, which look to tick up and gross margin returning to enhancement? And as we kind of get there, is there any type of timeline you guys are kind of aiming toward to when you get to breakeven or any kind of color there would be helpful. Thanks.
Brent Willis: Go ahead, Greg.
Greg Gould: Yes, it's Greg. So, basically -- during the fourth quarter, when we took the impairments we also had to really look at some of our inventory we had in those channels. So then we did take a little bit of an extra hit there. When we look at the company going forward, we think that we should have gross profit somewhere closer to the mid-60s and that's something we think we can maintain. This year, it did come down based upon some write-offs we had, but we think we have those behind us now.And then, once you look at the SG&A, we did take a fairly conservative look at it here as of 12/31, which basically had some effect on. But a big thing about our current SG&A, we have built the Company now so that we can scale and scale significantly probably even to three or four times the size we are today, without having to make a lot of additional SG&A additions. We feel like we have a very good team on board that we can continue to add in a couple more people that basically there is not going to be a lot of extra costs going through that even as we fully scale to a much bigger size. So overall, we hope that not sometime within the not-too far out future we could get our SG&A down to the low-to-mid 30% range.
Brent Willis: So, I'm just going to add to what Greg said. So, if you think about a 65% gross margin, commissions, which for this kind of business is really fairly fixed at 29% to 30% and then SG&A, the more we drive that number down, that's where the real leverage is. So he is exactly right in terms of the P&L structure and the closer we push that down to 30%, the more free cash flow we generate. So that's why scale is so important in all CPG businesses, but we're now at that point where you're almost at -- the cases that you add from this point forward and the revenue add from this point forward is the golden revenue, golden cases because the significantly greater portion of the gross margin drops to the bottom line because you don't need incremental SG&A. Commissions stay the same at 30% -- 29% to 30% but our goal would be get that SG&A down to the low-30% of the net sales, because then you can see how the cash really drives in the business.
Operator: Thank you. And our next question comes from Mike Grondahl of Northland Securities. Your line is now open.
Mike Grondahl: Yes, thank you. Could you guys talk about specifically which brand you're exiting and which ones are going to stay?
Brent Willis: Yes, Mike. This is Brent here. We're looking at it now, but for sure, Coco-Libre, Aspen Pure including its manufacturing businesses and potentially depending on the price we get for them and the interest some of the other traditional retail brands that we started with. That being said, we like some of the globally iconic brands Nestea, Illy Coffee. Coca-Cola had these brands and they had scale in them.So we think that they're quite scalable and good brands as is Volvic and Evian. But all other brands, aside from those globally iconic brands were open to divesting. So we could focus on the big winners and continue to look for other big scale winners in that sector. So again, we like retail, but in the right context. But any and all of those other smaller brands that we started with, but for sure Coco-Libre given what's happened with the coconut water segment overall, Aspen Pure and potentially some of the other brands too, but for sure those two.
Mike Grondahl: Got it. So the only three that are core going forward are Evian, Illy and Volvic. Did I hear that right?
Brent Willis: And Nestea.
Mike Grondahl: And Nestea, okay. What about the Morinda brand?
Brent Willis: Potentially Bucha and Marley, we'll see, but they really need to be scalable. And outside the United States there is -- especially in Japan there is a lot of interest in Marley and relevance especially with the Marley+CBD but as everybody knows we've been curtailed from doing that in North America where we felt we had the biggest potential.But we're open but there is a few for sure that we're going to divest, but you got to be disciplined in this stuff too because as Greg said overall, it's like 4% of our revenue and we want the profit, we want the cash because it's the right discipline thing to invest that profit, invest that cash and it's going to double and triple the size and scale of the business.
Mike Grondahl: Got it. And you said earlier Brent 7-Eleven and Walmart did not deliver. Why do you think those channels didn't work?
Brent Willis: I think it's a combination of them and us, right? So with 7-Eleven, we launched Bucha and that channel and that particular customer really just wasn't ready for a Kombucha kind of product. We had initially seen great movement for Bucha and 7-Elevens and in convenience stores around college campuses up in Canada but when they brought it to the United States, 7-Eleven is fairly challenged because more than half of their businesses are franchised -- more than half of their outlets are franchised and just because 7-Eleven puts it in the global planogram doesn't mean any of the franchisees put it there. So we didn't get any of the distribution.We got very negligible parts of the distribution and then to get to distribution, you got to pay more money with the FAOCs and more money to do merchandising on a store-by-store basis and it just becomes really unprofitable if they can't just get the product and get it on the shelves in the right way which 7-Eleven wasn't able to do. And if you've got a team of less than 30 salespeople even if you go get merchandisers and those kinds of things, it's just becomes too expensive. So that's kind of 7-Eleven and same with Walmart.We didn't get all the retail distribution we're looking for and there is always a big lag between authorization and distribution, right? Getting it into the stores, but a couple of SKUs of Marley Mate and a couple of the key clusters is not enough to have presence and technically presence is what correlates to preference where kind of daily drinkers and real consistent sales when it gets part of consumers' repertoire. And you just didn't get enough preference.So there is still potential for Mate, that's a real winner within that whole portfolio but those guys didn't execute. And when you get Nestea, for example, in like Costco and Walmart that's really the right kind of consistent product because consumers are used to buying those kinds of products in those kinds of channels. So Nestea we think is a much better opportunity there than some of the old NewAge kind of emerging brands, just trying to break through in what is frankly a huge sea of confusion at traditional retail right now.
Mike Grondahl: Got it. And just one more. It looks like a filing came out a half-an-hour or 45 minutes ago and I don't know if it's related to the ATM or not or an update, because I haven't read it in great detail, but it does look like a new credit facility requires you to maintain roughly $15 million of cash and it talks about $15 million needed to be -- of new equity needed to be raised by June and then maybe $30 million by year-end. Could you guys just kind of explain that or at a high level, what's going on there?
Greg Gould: Yes. Basically, it's our same line of credit in term loan we have with East West Bank. We just went out and reset some of our covenants for 2020 and '21 and basically with that we needed to -- we have the cash in both China as well as here and basically until once we hit certain EBITDA covenants, we need to keep it as restrict cash with them.The majority of it is in China compared to here so that we have more access to it and can use it within the U.S. where we can see faster growth we think. So that's just part of that same East West loan. And then with that as an equity cure to EBITDA...
Brent Willis: If we need it.
GregGould: Yes. And then as an equity cure to EBITDA, we would raise $15 million before June 30 of which we've already raised $6 million in January. So then we would have another $9 million to go at some point here within the next four or five months.
Brent Willis: And that's if we need it Mike versus just driving the performance of the business, which is our primary focus and so far so good on the performance of the business and we expect more of that to continue. So if we don't have to do it and if we don't have to raise any equity we don't want to.
Mike Grondahl: Okay. And the $30 million in total by year-end, that's what, only if your EBITDA comes up short? Is that what you're saying?
Greg Gould: Yes, basically the way it works is this -- is that well, we've consistently raised cash throughout the last four, five years. So then I would guarantee or I won't say guarantee, but basically there is a very high likelihood that that some point during this year we will go out and raise some additional capital, especially when we continue to look at different opportunities as we move forward. So basically that falls in line with where we're at and basically it made sense for us to make these adjustments to our loan at this point. And this is just an exhibit to the 10-K so.
Mike Grondahl: That's what it was. Okay, okay, thanks for that clarity.
Greg Gould: Thanks, Mike. I think we're a little bit out of time everybody, but I wanted to thank everybody for joining us on the call today and we appreciate your alignment to the vision of what we're doing at the Company. I do think we're in a good position with our e-commerce and our home delivery and the strain on global economic situations that could spur more people coming into our system and participating and looking for additional sources of revenue. So -- and we like the portfolio that we're in with these healthy products. So thank you again for joining us and we look forward to continued conversations.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.